Operator: Greetings, and welcome to the Euronet Worldwide, Inc. Fourth Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a question during the session, you will need to press star-11 on your telephone. If your question has been answered and you would like to remove yourself from the queue, simply press star-11 again. As a reminder, today's program is being recorded. And now it is my pleasure to introduce your host for today's program, Adam J. Godderz, General Counsel for Euronet Worldwide, Inc. Thank you, Mr. Godderz. You may begin.
Adam J. Godderz: Thank you, and good morning, everyone, and welcome to Euronet Worldwide, Inc.'s fourth quarter and full-year 2025 earnings conference call. On the call today, we have Michael J. Brown, our Chairman and CEO, as well as Rick L. Weller, our CFO. Before we begin, I need to call your attention to the forward-looking statements disclaimer on the second slide of the PowerPoint presentation we will be making today. Statements made on this call that concern Euronet Worldwide, Inc. or its management's intentions, expectations, or predictions of further performance are forward-looking statements. Euronet Worldwide, Inc.'s actual results may vary materially from those anticipated in these forward-looking statements as a result of a number of factors that are listed on the second slide of our presentation. In addition, the PowerPoint presentation includes a reconciliation of non-GAAP measures we will be using during the call to their most comparable GAAP measures. I will now turn it over to our Chairman and CEO, Michael J. Brown. Thank you, and good morning, everyone, and thank you for joining us today. Our fourth quarter 2025 results reflect one of the more challenging operating environments that we have faced in some time. Immigration policy uncertainty and economic stress, especially amongst lower-income consumers, weighed on growth across all three segments with the most pronounced impact on Money Transfer and epay. That said, despite the external headwinds that pressured the quarter, we remain excited about growth initiatives underway across all our segments that will drive business momentum through 2026. We will discuss these items in detail throughout this call. Further, we remain confident in our competitive position, particularly in Money Transfer where underlying trends continue to outperform broader market
Operator: dynamics.
Michael J. Brown: I would be remiss not to highlight the resiliency of our EFT segment, which delivered solid growth and once again demonstrated its role as a stabilizing earnings engine. This business continues to evolve beyond its historical reliance on ATM ownership with an increasing focus on payment infrastructure and merchant acquiring. Stepping back and looking at full-year results, despite a difficult operating backdrop, I am proud to say that we delivered another year of double-digit EPS growth consistent with our history as a publicly held company. Looking ahead to 2026, we expect to continue that performance with adjusted EPS growth in the 10% to 15% range. Based on our track record and the investments we have made, we are now confident in our ability to deliver another year of double-digit earnings growth. Next slide, please. In periods of uncertainty, I believe that history does matter, and this chart on slide five shows our ability to consistently deliver top-line growth year over year. Euronet Worldwide, Inc. has more than three decades of experience in dealing with various economic cycles. We have navigated the economic downturn in 2008 and 2009, demonetization in India, the economic instability in Greece, one of our largest EFT markets, and, of course, we navigated COVID, just to name a few. In each of these periods, the diversity and durability of our earnings, our conservative balance sheet management, share repurchases, and thoughtful investment in growth initiatives allowed us not only to withstand the pressure, but to emerge stronger, more agile, and with greater market share. You will see these themes emerge as Rick and I talk you through the details of the quarter. In short, we do not view near-term uncertainty as a reason to adjust our long-term strategy. Instead, we rely on the same principles that have granted our success for decades: disciplined execution, evolution of our business model, thoughtful capital allocation, and a focus on building assets that compound value over time. Our 2025 execution shows how we put these principles into action. We generated $4.8 billion in adjusted earnings, which allowed us to return approximately $388 million in capital to shareholders in the form of share repurchases, which excludes the shares repurchased to offset the shares issued for the CoreCard acquisition. During the year, we also acquired Kyodai in our Money Transfer segment and we announced the acquisition of Credia Bank's merchant acquiring business. We expect both of these acquisitions to drive multiyear growth. Next slide, please. As I continue my comments on slide six, you can see a quick recap of some of our key accomplishments for 2025. We continue to invest in growth opportunities across all three segments, particularly in areas where we were accelerating our digital strategy. In addition to the acquisitions I previously mentioned, we signed a REN deal with one of the top three U.S. banks. We added Commonwealth Bank of Australia along with Citi to our Dandelion portfolio. We continue to expand distribution into digital wallets in epay. Not only will these deals contribute to our growth, names like these demonstrate that our products are being recognized as market leaders and drive value. The flywheel is definitely turning and gaining momentum. So while we have experienced some pressure from immigration and the economy, we have continued to keep our eye on execution of all our growth initiatives as we enter 2026. Next slide, please. With that perspective in mind, I want to step back and remind everyone how we think about Euronet Worldwide, Inc. at a higher level as illustrated on slide number seven. As we have discussed in prior calls, our business is built around two core revenue pillars: payment and transaction processing, and cross-border and foreign exchange. What is important is that these two pillars support a huge number of use cases across the globe that we can serve through our technologies and global network, and they also work together to combine payments, cross-border movement, and FX resulting in revenue generation which is meaningfully higher per dollar moved than the broad global payments industry. Despite global challenges like the ones I mentioned earlier, the bottom line is that people and businesses will continue to make payments. They will send money, move funds across borders. Our focus is on ensuring that Euronet Worldwide, Inc. remains well positioned to serve those needs wherever, whenever, and however they may arise. Now let us go on to slide number eight and we will talk about how we furthered this strategy in each of the segments, and, of course, I will start with EFT. I am on slide number eight now. During 2025, EFT continued to deliver consistent growth, earnings stability, and cash generation which was largely the result of the diversity of our products, geographies, and payment channels in the segment. During the fourth quarter and on the heels of another year of exceptional growth in our merchant acquiring business, where adjusted EBITDA grew 32%, we acquired Credia merchant acquiring business. This partnership with Credia Bank, which is the fifth-largest bank in Greece, adds to the diversity of products and services in the EFT segment, additional mix shift to our digital strategy, and is a perfect example of the breadth of services EFT can offer a partner largely due to our REN platform and its flexible, modern digital payments processing capability. This agreement will add another 20,000 merchants to our acquiring portfolio, or nearly a 10% increase, as we provide the banking infrastructure for financial services to Credia including credit, debit, and prepaid card issuing. We will also manage the outsourcing for the branch and off-branch ATMs and provide Credia customers with access to our leading ATM network. Before I wrap up, I would like to briefly touch on our recent acquisition of CoreCard, which we completed in October. This acquisition aligns well with our objective to expand into high-growth fintech areas such as credit card issuance and processing. We view CoreCard as a strong addition to our payments processing pillar, and we are encouraged by the early momentum into new markets along with its ability to serve a more diversified client base. Since the acquisition, we have seen an expansion in processing relationships across several new programs, including the recently launched and well-publicized Bilt 2.0 credit card focused on renters and homeowners that allow you to earn points on housing payment, and the Coinbase OneCard, which offers rewards paid in Bitcoin. These are just a few of the potential new customers that we are targeting with this innovative platform. As previously stated, our near-term focus is on integrating CoreCard into our product offering for international markets. Over time, this integration will enable a more and more comprehensive end-to-end client offering combining seamless credit card processing with our existing payment capability. Needless to say, at this point, we are pleased with the early customer response. I would like to pause here to specifically highlight one important point. Our EFT business is evolving from a model historically centered on ATM ownership to one increasingly focused on payments infrastructure. While ATMs remain an important and cash-generative component of EFT, partnerships like Credia and acquisitions like CoreCard accelerate our capabilities in modern issuing and processing allowing us to scale software-driven services that support digital transactions and real-time payment flows across our global network. Now let us go on to slide number nine and we will talk about epay. As I mentioned, epay's results were impacted by global macroeconomic pressures. However, despite these challenges, the underlying core epay business continued to perform well in a difficult environment. Throughout the year, we expanded and diversified epay's distribution footprint across both physical and digital channels. This included growth in our merchant payments processing business, the expansion of our digital content and gaming partnership, and the launch of our own open-loop product in a new market. The fourth quarter, we delivered strong performance in our gaming-related branded payments business which makes up 37% of our total branded payments margin. According to industry reports, the global video game market was approximately $290 billion in 2025 and is expected to grow at a 13% CAGR through 2031. We have strategically positioned our branded payment distribution to benefit from these strong growth trends in markets around the world. We also expanded our digital content distribution with Revolut to India and New Zealand as part of their loyalty program. We are now in 20 countries with Revolut and looking to expand further. Revolut is one of the fastest-growing fintechs out there which further demonstrates our global reach, good execution of our digital channel growth strategy, and customer demand for the epay products. Additionally, we broadened our partnership with Lidl Supermarkets adding digital branded payments in two markets, Italy and France. Finally, we continue to leverage our relationship with the merchants that distribute e-content to offer payment processing. This has allowed epay to grow its merchant payment processing revenue by 21% for the full year. As we move forward, we will continue to evaluate the business to ensure that epay operates at optimal levels while staying focused on our core strategic initiatives to drive growth across the segment. Now let us move on to slide number 10 and we will talk about Money Transfer.
Operator: Slide 10.
Michael J. Brown: As I mentioned in my opening comments, the Money Transfer segment faced headwinds, particularly in the second half of the year driven by macroeconomic uncertainty and the changes in U.S. immigration policy. While these external factors certainly impacted our business, they have impacted everyone in the industry. It has been tough for everyone, yet we continue to find ways to gain market share. Since we have acquired Ria, we have outpaced market growth. Despite the disruption in remittances, we have continued to expand our world-class network, to add more digital touch points, to operate in new send and receive markets, and to add world-class partners to our Dandelion network. To ensure the continuity and stability of our operations, our management team focused on what is within our control and in 02/2025, anticipating a softer environment, we proactively initiated a comprehensive results-based review of the Money Transfer business with an external management consulting partner. The goal was to improve our digital sales focus, together with the efficiency, scalability, and operating leverage of the segment. That work resulted in a set of structural actions designed to strengthen the business over time. Rick will walk you through the financial implications of those actions, but from my perspective, this was about fortifying and optimizing how the business focuses on digital customers and operates through AI and process automation. Because this work began well in advance, we are better positioned now and expect these proactive steps to support performance in the coming quarters and beyond. In parallel with the optimization effort, we continue to invest in key areas that will position Money Transfer for future growth. During the fourth quarter, we signed an agreement with WorldFirst, a U.K.-based fintech that is owned and operated by Ant Financial. WorldFirst will join Citi, Standard Chartered, HSBC, and others in leveraging our Dandelion network to offer best-in-class real-time cross-border payment flows to their customers. We also closed the year with strong performance in our Ria digital channel. In the fourth quarter, we expanded our digital reach with the launch of the Ria app in Greece, Romania, and the Czech Republic, which are exciting new markets that will support our ongoing digital growth. In the fourth quarter, our global digital channel delivered 31% transaction growth and 33% revenue growth including 33% new customer acquisitions in December alone. We also continue to expand our global distribution network by launching business operations in Colombia and Panama under our own licenses. These new markets are part of our geo-expansion efforts that will allow us to continue to expand our global TAM. We look forward to building strong inbound and outbound businesses in both countries. Finally, we continue to work closely with Fireblocks and our internal teams to launch our stablecoin strategy. This initiative, which we announced last quarter, will support use cases around the globe. So while we work through some market-driven challenges in 2025, we remain confident that our optimized operating model combined with our leading global network, which now reaches 4.1 billion bank accounts, 3.7 billion wallets, and 4.0 billion cards across 200 countries, will continue to support our ability to outgrow the market in 2026 and beyond. I will stop there, and I will turn it over to Rick L. Weller, who will walk you through the financial results for the quarter in more detail. Yes. Thanks, Mike, and good morning, everyone. I will begin my
Operator: comments on Slide 12, which shows our fourth quarter and year-over-year
Rick L. Weller: results on an as-reported basis. Most of the majority major currencies we operate in strengthened compared to the dollar. To normalize the impact of the currency fluctuations, we have presented our results adjusted for currency on the next slide, on slide 13. As Mike mentioned, adjusted EPS for the fourth quarter was $2.39 reflecting another quarter of double-digit year-over-year earnings growth, even as parts of the business faced pressure. With that context, I will start with the fourth quarter results and then move to the full-year performance. On a constant-currency basis in the fourth quarter, consolidated revenue increased 1% year over year, adjusted operating income declined 6%, and adjusted EBITDA was consistent with the prior year, reflecting macroeconomic and immigration-related pressures in Money Transfer and epay, partially offset by strong performance in EFT, where we delivered double-digit growth in both operating and adjusted operating income and EBITDA. EFT produced another strong quarter with revenue growing 8%, adjusted operating income increasing 12%, and adjusted EBITDA growing 13%. Money Merchant Services in the Greek business performed exceptionally well, delivering another strong quarter with adjusted EBITDA up 32% year over year on robust transaction volumes and continued merchant expansion. Results in the quarter also benefited from continued expansion in Morocco, Egypt, and the Philippines as we deployed additional ATMs, broadened service offerings, and deepened relationships with banks and fintech partners. In epay, revenue declined approximately 2% while adjusted operating income decreased 7% and adjusted EBITDA declined 8% reflecting product mix shifts, continued investment in proprietary offerings, and macroeconomic pressures. Promotional activity in our B2B channel was lighter year over year, while our core digital content and payment processing businesses remain stable. Money Transfer revenue declined 1% year over year with adjusted operating income down 6% and adjusted EBITDA down 5%. I want to put these headwinds in proper context. The declines we experienced in certain remittance corridors were driven primarily by macroeconomic conditions and immigration-related dynamics affecting senders, with more pressure in the United States and more specifically, Mexico. Financial pressure remains concentrated among low-income households which represents the majority of remittance customers. According to the Federal Reserve's most recent Survey of Household Economics and Decisionmaking, inflation and prices remain the top financial challenge facing U.S. customers, and a significant share of lower-income households report difficulty covering monthly expenses and absorbing unexpected costs. What that typically means in practice is not a sharp reduction in support for families abroad, but rather fewer transactions. When budgets are strained by essentials such as rent, food, fuel, and utilities, senders continue to remit but with less flexibility between paychecks. That shows up first in frequency rather than ticket size. While we saw pressure in transactions, average amount sent increased by 7% to 8% year over year in the fourth quarter. According to the Central Bank of Mexico, remittances into Mexico declined approximately 2% in the fourth quarter of 2025, following eight months of decline ranging from about 2% to 16% compared to the prior year, and were down roughly 5% for the full year. Our Money Transfer results tracked the industry in the fourth quarter, reflecting the same macroeconomic and immigration-related pressures facing U.S. senders. However, while the broader market contracted on a full-year basis, our business delivered a modest increase in remittance volumes for 2025. In our view, that outperformance reflects continued share gains driven by our expanding digital footprint, corridor diversification, and strong partner network demonstrating the durability of our platform even in a softer demand environment. Consistent with our discussions over the past few quarters, we are very focused on extending our digital strategy in each
Operator: segment.
Rick L. Weller: More specifically, in the Money Transfer segment, where we have consistently produced 30% growth rates in Ria Digital, and signed Dandelion agreements with leading financial and fintech institutions. To continue our focus on digital growth, about a year ago, we initiated a process to carefully look at what we could do to drive yet more focus on Money Transfer digital initiatives. This effort is expected to produce approximately $40 million in annual run-rate benefit, a portion of which will drop to the bottom line. In that regard, as you saw in our earnings announcement, we recorded a charge of $20 million related to driving the extension of our wholesale SME and consumer digital products, enhancing the end-to-end customer experience, and deploying targeted marketing investments to accelerate digital customer acquisition and engagement. The net benefit of this investment will meaningfully contribute to an expansion in the Money Transfer segment's operating margins by approximately 50 to 75 basis points in 2026. Moreover, we will continue to critically evaluate the opportunities to accelerate our Money Transfer digital revenue growth which will likely require additional investment. We expect that the net benefit of these investments will drive additional growth as well as contribute to an expansion of our operating margins. This focused approach to accelerate our digital product opportunities to operate and scale the business to fully leverage the company's strong capabilities, extensive global infrastructure, deep banking relationships, and regulatory expertise is all designed to translate our advantages into scaled sustainable growth in digital money transfer. We will share additional details regarding these initiatives in our upcoming quarters. Finally, despite the macroeconomic and immigration-related pressures impacting the fourth quarter, as Mike mentioned, we remain very confident in the underlying earnings power of this business. The momentum we see across EFT, early wins from CoreCard, and the structural cost actions we have taken across the business, including the ongoing optimization project in Money Transfer, give us increasing confidence going into 2026. As Mike mentioned earlier, based on our current operating trajectory and pipeline of growth initiatives, we anticipate adjusted earnings per share growth of 10% to 15% in 2026 with multiple levers to drive performance as volumes normalize and investments scale. I am on slide 14 now. Turning to the full year, we delivered revenue of $4.2 billion, adjusted operating income of $550 million, adjusted EBITDA of $743 million, and adjusted earnings per share of $9.61. Essentially, the difference between the fourth quarter and the full year was from the increasing pressure in the second half of the year due to macroeconomic conditions and immigration-related policy decisions across several markets. Despite these headwinds, the diversification of our portfolio, disciplined expense management, and share repurchases we executed during the year enabled us to deliver another year-over-year double-digit earnings growth. I would also highlight that consolidated operating margins expanded by approximately 30 basis points versus the prior year, and we expect that margin trajectory to continue into 2026. As Mike mentioned earlier, adjusted EPS of $9.61 represented another year of double-digit growth, consistent with our long-term track record. Let us now turn to slide 17 for a few brief comments on the balance sheet. Slide 17 presents a summary of our balance sheet compared to the prior quarter. As you can see, we ended the quarter with $1.0 billion in unrestricted cash and debt of $2.0 billion. The decrease in cash is largely due to stock repurchases and debt repayments, partially offset by cash generated from operations. From a capital allocation standpoint,
Operator: our
Rick L. Weller: our priorities remain consistent: maintaining a leverage profile aligned with an investment-grade rating, investing in growth opportunities tied to our digital initiatives, and returning excess capital to shareholders through disciplined share repurchases. In 2025, we repurchased $388 million of our shares, which represents essentially all of our adjusted earnings returned to shareholders through share
Operator: buybacks.
Rick L. Weller: This $388 million does not include the 2.6 million shares repurchased and then reissued for the CoreCard acquisition. We believe this balanced approach—managing our balance sheet while actively deploying capital for growth and shareholder returns—is central to our long-term value creation strategy. With this, I will turn it over to Mike to wrap up the quarter.
Michael J. Brown: Thanks, Rick. Growing this business has never been easy. Over thirty years, we have regularly been met with certain macroeconomic, regulatory, and geopolitical challenges.
Rick L. Weller: Even though in the second half of the year, we faced stronger macro
Michael J. Brown: issues, we are not discouraged. We have entered the year with a lot of motivation and confidence. We will continue to focus on the areas that we can control including executing on the growth of digital across all three segments, continuing to grow merchant processing in both EFT and epay, enhancing our banking infrastructure products and services with REN and
Operator: CoreCard.
Michael J. Brown: Adding more branded payment products across more markets with epay, signing more partners and increasing transactions through our Dandelion network, expanding our digital money transfer presence, optimizing the business in all three segments, and generating free cash flow and deploying our capital where it makes most sense, whether to deliver growth through acquisitions or repurchasing shares. This strategy has served us well, highlighted by our ability to deliver our fifth consecutive year of double-digit adjusted EPS growth in a difficult environment. I am confident we can continue to deliver 10% to 15% earnings growth in 2026. With that, we would be happy to take questions. Operator, will you please assist?
Operator: Certainly. And our first question for today comes from the line of Michael John Grondahl from Northland. Your question please.
Michael John Grondahl: Hey, guys. Wanted to ask a little bit
Michael J. Brown: you know, you have called out some macro issues at the lower end and immigration. Are you seeing the light at the end of the tunnel on any of those 3Q and 4Q at 1% constant currency growth, and did things pick up by the end of the year? Are they picking up in January at all? Just just kind of curious what you are seeing there kind of real time.
Michael J. Brown: Well, I would say it is first of all, whatever happens in January does not necessarily reflect the rest of the year. We do see some positive trends in January, but I would not hang my hat on. We have to kind of see what happens. It is still a very difficult environment out there. We have got a very anti-immigrant administration here, which slows down my Money Transfer business. And so I would say we are cautiously optimistic, but I would be careful, you know, jumping to conclusions.
Rick L. Weller: Yeah. I would add to that, Mike, you know, just a little bit of data. And, again, as Mike says, you know, I do not think you want to jump to, you know, any kind of quick conclusion here. But if we take a look at the transfers to Mexico as reported by the Bank of Mexico, we saw declines as sharp as 16%. Now this was back more in the summertime period. Okay? And those have consistently decreased. Those drops have kind of, they have had a bit of a sawtooth pattern to them, but let us say they have consistently decreased where actually in December, there was an increase year over year.
Michael J. Brown: So,
Rick L. Weller: you kind of see the momentum moving a bit more north here, and, you know, that you kind of take a look at that. You know that families are, you know, families in Mexico are dependent on the monies being sent back home for their daily needs. And so, you know, maybe there is something in that kind of underlying improving trend. But as Mike says, you know, let us not overthink it at this point. It is positive, I think. And, you know, we think that we are well positioned to take advantage of that because we have continued to grow and expand our network. We continue to put more emphasis in our digital business. And so from that standpoint, our operational execution is doing good. And if we really do see this, you know, kind of northerly movement out of what you are seeing in Mexico is reflective of a broader environment, you know, maybe that, you know, is more positive than you think. But at least those indicators, you know, and I will look more specifically to this Mexico stuff. You know, they look like they are moving in the right direction.
Michael John Grondahl: Got it. And then secondly, it sounds like the Money Transfer review started a while ago. One, maybe what triggered that and then two, any thoughts on doing something similar in EFT or epay?
Michael J. Brown: So, yeah, we started this about a about this time last year, maybe a little before.
Gustavo Andre Gala: So, yeah, we have been thinking about it and kind of what triggered it. You have got to remember, Ria is an exceptional case of success. When we bought Ria, you know, eighteen years ago, it was, you know, it was doing $200 million in revenue and now doing $2 billion. You know? So we have grown a whole lot over the last decade. It has been, you know, we moved up to be from a very tiny player to the second-largest money transfer house in the world. And with that, we realized, you know, we need to take a hard look at how we are organized, what we are doing, to make sure that our organization matches the size of the opportunity and our customer base. So that is why we did it. It was not, I mean, you know, we were not doing it out of desperation. It was more like, boy, we have really grown. Let us make sure we are not leaving any money on the table. And
Michael John Grondahl: you
Gustavo Andre Gala: as we as Rick said and I
Gustavo Andre Gala: and I said, we are really focusing on the digital aspect of Money Transfer, and you can see with the 30-plus percent growth rate that we have had for several years now, we want to continue to grow that digital business.
Michael John Grondahl: Got it. And then, I guess, just any thoughts on a similar review at at
Michael J. Brown: EFT?
Gustavo Andre Gala: We are always doing that. We may do something like that in the others or we may self-review, but I would say that the growth in EFT has not been quite as quick over the last couple of decades as maybe Money Transfer, so that is why we wanted to make sure. And the focus there, of course, is moving our bricks and mortar to more digital.
Michael John Grondahl: Got it. Okay. Hey. Thanks, guys.
Operator: Thank you. And our next question comes from the line of Cristopher David Kennedy from William Blair. Your question please.
Michael J. Brown: Yes. Good morning. Thanks for taking the questions. Can you give us a little bit more details on the merchant processing business
Michael John Grondahl: understand it is split between epay and the EFT segment.
Michael J. Brown: Yeah. But any more color on the growth of that and the opportunities going forward?
Gustavo Andre Gala: Well, we are getting pretty much blown away by that growth is the kind of the bottom line. We probably do about 20% of that volume coming out of epay and the other 80% out of EFT. As you can see by those numbers in both of them, and the epay merchant acquiring business grew over 20%. Our merchant acquiring business in Greece and elsewhere that was run out of EFT has grown over 30%.
Michael J. Brown: So
Gustavo Andre Gala: you know, this is a big one for us. And it is now gotten to the point where the combined EBITDA of both of those endeavors is in the kind of $90-ish million. So it is not only growing fast, but it has size. So we are really excited about that.
Cristopher David Kennedy: Great. Thanks for that. And then just a quick modeling question. Can you talk about free cash flow in 2025 and the prospects for 2026? Thank you.
Gustavo Andre Gala: I will let Rick do that one. Well, as
Michael J. Brown: you know, Mike said, we essentially generated about $400 million of
Rick L. Weller: free cash earnings there. And so, you know, now that obviously was offset with things like share repurchases, did a couple little acquisition pieces there. We would expect 2026 to be, statistically, no different than our earnings improvement. Right? We expect our earnings to be going up 10% to 15%. That should be, we should see a similar kind of rhythm in our free cash flow. Now, you know, then, as Mike said, we will be thoughtful on how we then deploy that
Cristopher David Kennedy: free cash flow,
Rick L. Weller: our first objective would be to support and develop our internally developed products. And Mike mentioned a couple of those in his comments there. We are going to continue to have very strong focus on our digital initiatives across all three segments. You know, we have talked a lot about Money Transfer, but we have got initiatives going in all three segments, whether it is acquiring or it is gaming or it is Money Transfer. I mean, they are in every part of the business. And so to that end, you know, we will continue to look for opportunities on the acquisition side that would be helpful to promoting and extending those digital growth strategies. So, yeah, net-net, I would expect that that number will improve consistent with our EPS outlook for 2026.
Michael J. Brown: Great. Thanks for taking the questions.
Operator: Thank you. And our next question comes from the line of Peter James Heckmann from D.A. Davidson. Your question please.
Gustavo Andre Gala: Hey. Good morning. Thanks for
Michael J. Brown: the time. I had a few follow-ups. In terms of CoreCard, can you give us the approximate revenue contribution for the partial quarter in the fourth quarter?
Rick L. Weller: Yeah. Yeah. It was, you know, in the ballpark of $10 million to $12 million.
Operator: Okay. And that is helpful. And then just in terms of the
Michael J. Brown: the pending Credia, merchant acquiring acquisition, can you give us maybe some brackets around potential purchase price and total revenue?
Rick L. Weller: We, I would not put anything out there on the, I mean, we have not disclosed those kind of numbers. The purchase price was relatively small. And it really will be, and it will only, you know, happen once we migrate the parts of the business into our platforms. But,
Gustavo Andre Gala: it is within the
Peter James Heckmann: more like towards the last half of the year.
Gustavo Andre Gala: Yeah.
Rick L. Weller: It is in the few of millions of dollars rather than hundreds of millions of dollars. So, yeah, it is quite low on the few of millions of dollars scale.
Operator: Okay. That
Michael J. Brown: that is helpful. And certainly, that acquisition would lead us to believe that you just mentioned that the merchant acquiring business is generating strong growth, organically off the base of the Piraeus deal.
Operator: Now you are adding in this tuck-in
Michael J. Brown: Are there opportunities for other tuck-ins to continue?
Gustavo Andre Gala: We are looking for them, Pete. And, you know, we have been looking for them since we purchased them three years ago, since we purchased the merchant acquiring business from Piraeus. So we are looking. When we find a good one, we will slip it in. But there is no guarantee to what you can find and what it will be priced at. You know? So but, I mean, all our growth up to this point, which probably has a compounded return of 30% over the last three or so years, has all been organic. So it is nice to be able to have a little inorganic tuck-in that we can also use some of our additional products on that they did not have themselves to help them grow faster.
Rick L. Weller: And, you know, Pete, I would add to it. If we do see some across each of our businesses as opportunities. It is good to see that it appears that sellers are coming to their senses on valuation. I mean, the whole payments industry is being hit extremely hard in terms of valuation, and that is starting to kind of sink in with sellers out there. And I would also tell you kind of in terms of some of the things that we have seen, and I would even say on this Credia thing, is the economics we will get out of the deal will be as good or better than share repurchases.
Operator: Right. So that will give you, you know, some perspective in terms of
Rick L. Weller: the efficiency of the acquisition versus even using it for share repurchases. We will have as good or better economics than share repurchases.
Michael J. Brown: Alright. Great to hear. I will get back in the queue. Appreciate it.
Operator: Thank you. And our next question comes from the line of Rayna Kumar from Oppenheimer. Your question please.
Rayna Kumar: Good morning, Mike and Rick. I just want to go back to CoreCard for a second. Could you talk about what your expectations are for CoreCard in 2026? And now that JPMorgan is going to be the issuer for Apple Card, is there a prospect for you to retain that Apple Card relationship?
Gustavo Andre Gala: I, well, we will just say that we do not know that answer for sure, Rayna. But based upon JPMorgan's history of wanting to do things in their own shop, I would say long term, that would be doubtful. You know? I am not saying it is impossible. They may decide that because the CoreCard platform has a plethora of services and features that they do not have in their current platform, it might, they might find that it is better to use our platform for a while until they make those transitions. Or maybe they will not. But we, when we did the business model, we said this is a good buy if we can keep them through the end of their contract, which is 2027. And it may go further.
Rayna Kumar: That makes sense. And anything you can say on just, like, the contribution of CoreCard in 2026? What you are estimating?
Rick L. Weller: Well, you can see what they had in their publicly reported
Operator: information.
Michael J. Brown: You know, we will do
Rick L. Weller: we will do that good or better. Yeah. And, you know, so we are not putting a specific number out there for CoreCard. But as Mike said, we are already seeing the wins show up on the ledger. And the one, yeah. I mean, the value that CoreCard brings to the table is they have got a great platform. They have got a great group of people that know this industry inside and out. Got a great reference customer that is better than anybody else you could probably have out there, and in Apple. Now you put that together with us that has global distribution. Just like we did with Money Transfer. When we bought Money Transfer, it was highly focused on the United States. We are now around the world with that business. Same thing with epay. When we got epay, it was focused on the U.K. We have got epay now around the world. That is the same kind of customer reaction that we are seeing on the CoreCard product. It is the leading quality product in the market. And now we are exposing it to the rest of the world. So we are excited on seeing what the customer reaction is. But I would say you can see what their publicly reported numbers are.
Gustavo Andre Gala: We will do that that good or better.
Rick L. Weller: And you can bet that we are driving it to be a heck of a lot better. But let us not, I do not want to overhype the expectation.
Gustavo Andre Gala: But I will say, even though Rick is telling me not to overhype, the number of interested parties that have come out of the woodwork since this announcement has been phenomenal. So what we have got to do is move those interested parties to closure and then we will be cooking.
Rayna Kumar: Okay. That is exciting, and I appreciate that. And then just, you know, one more if I can sneak it in. Just, like, any thoughts on, like, segment EBITDA contribution for 2026? Like, how we should think of the different growth rates by segment. And I, like, I know a competitor recently announced an exclusive relationship with Kroger's. Is there any impact there to your business? Thank you.
Rick L. Weller: Well, first of all, the Kroger impact to us will be marginal at best. And, yeah. So it unfortunately was not a great success in that regard. So nothing there to speak of. As it relates to, you know, the growth rates in that by segment, I think we will kind of hold off on that. We have given you guidance for the EPS. You can kind of look at the, you know, what we have had historically as growth rates across those businesses. You know, what I would probably say, without putting numbers out there, you know, we would expect the growth rates out of EFT and Money Transfer to lead the way, with epay, you know, in a lesser growth kind of a profile as we see it right now. Although I know that, you know, Kevin is looking at a number of exciting products that, you know, hold out some opportunity. But, yeah, we will hold off on putting specific numbers out there by segment. If you remember, a couple of years ago, we went through an approach of using an earnings guidance for the bottom line. Because essentially what we were seeing, we were seeing is a dozen different numbers out there that if you meet, if you exceed one and you missed any one of the others, you know, you really get penalized for it. And so we are trying to get the investors to focus on the strength of our total business and really reward us for, again, this is the fifth year in a row with double-digit earnings growth. I looked at the Fortune 500 stuff the other day. And the expectations for the full year are something like about 12% growth. When you say, alright. Well, if that is what is out of the S&P 500, if that is out of the S&P 500, we did 12%, why are we not getting the same kind of trading? Okay? If you took the four or five leading valuation guys out of those numbers, their numbers were 9% in growth year over year. Yet we have produced again, Mike said, the fifth year in a row
Gustavo Andre Gala: of double-digit
Rick L. Weller: earnings growth, and we expect the same thing next year. So we have got a business that has great consistency.
Michael J. Brown: Great continuity,
Rick L. Weller: we have great diversification because we are not dependent upon any one market. You know, just look at Mexico, for example. If all of our business was going to Mexico, our results would not be anywhere to what they are now. They would be down significantly. But we are diversified in that we are not dependent upon Mexico. We would love to see better numbers come out of that market, but we have a great diversified business. And so we really try to, you know, want to try to get people to focus on the consistency and the reliability of double-digit earnings growth. And our earnings are durable.
Gustavo Andre Gala: I mean, they have been here for a long time and they continue to be so.
Rayna Kumar: Thank you for the color.
Operator: Thank you. And our next question comes from the line of Daniel Krebs from Wolfe Research. Your question please.
Rick L. Weller: Hi, thank you. This is Daniel Krebs on for Darrin. I would love if you could discuss the recent
Operator: DXC Hogan partnership
Daniel Krebs: you know, how you may think that can improve distribution of the issuer processing products and
Daniel Krebs: maybe where those efforts are being targeted by client or region. Thank you. Did you say Hogan partnership? DXC.
Gustavo Andre Gala: The DXC partnership.
Daniel Krebs: I am sorry. I am unfamiliar with what that is. Okay. No worries. We can take that one offline. Yeah. Maybe switching back to Credia Bank then. I know we are not giving a lot of specifics on the revenue. It sounds kind of smaller than Piraeus. But if you could just compare and contrast the business relative to Piraeus when you got it, are we talking about a similar margin profile and growth profile as we look at combining those two?
Gustavo Andre Gala: Well, we hope so. So they have got about 10% of our base of, you know, our number of merchants. So that gives you an idea of kind of its size. The one thing that has helped us grow that business, where we have gone from about 18% market share in Greece to about 24% market share over the last three and a half years, and that is in a highly competitive market. We have grown that market share because we have a really good product set. And we do more than just merchant acquiring. We do DCC at these things. We do tax refund. We have various credit kinds of deals going on with our merchants. So we continue to grow that business really quick. Really quickly. And I would expect that if we could add 20,000 more merchants, they should fall right there in lockstep with it. So we are pretty excited. Plus, we are not stopping. We mentioned too that we did, what, 7,000 plus merchants organically in the fourth quarter. So we are going to keep working organically, not just inorganically.
Daniel Krebs: Right. Thank you.
Operator: Thank you. And our next question comes from the line of Vasundhara Govil from KBW. Your question please.
Vasundhara Govil: I guess just first one on the EPS guide of 10% to 15%. Maybe you could give us some color on sort of what the underlying macro assumptions are at the low end versus the high end, just given we are seeing some pressure there?
Gustavo Andre Gala: I do not think we have a high end and low end assumption. We have our forecast
Gustavo Andre Gala: that falls in that range. There is a lot of things that can happen positive and negative in a year or so, and we have been able to deliver that for the last five years. So we feel pretty comfortable with that range. I would like to beat it like we did year before last, like we did in 2024, but we are just going to put that out there to give people a little bit of a yardstick of where we think we are going to land.
Rayna Kumar: Great. Thank you. And then, Mike,
Vasundhara Govil: you talked about sort of diversifying EFT revenue mix away from the ATM business. You have obviously made a bunch of acquisitions to make that happen. Can you remind us what that mix looks like today? And sort of if you look out two to three years, what do you envision that mix could be? And then similarly on the margin profile, I am guessing it will be accretive to the margin profile, but any color on how we can see that evolve over time?
Rick L. Weller: Yeah. Yeah. Can you repeat that for me?
Gustavo Andre Gala: There is that quite the EFT revenue mix
Vasundhara Govil: you guys have been making acquisitions, and you are talking about that mix, or diversifying away from the ATM business? So just looking for some color on what that mix could look like two to three years from now, just given that you are buying non-ATM businesses and some of them are going at a faster pace, and then also, like, what that means for margins over time.
Gustavo Andre Gala: Well, Vasu, there is also another nuance here because you say diversifying away from the ATM business. What that assumes is that all we do is, you are kind of, we are probably referring to our owned ATM business. What we found is because of our scale and the size and our reach, we do a lot of banking infrastructure deals where we are being contracted by the bank to do their ATMs or provide them ATM services. So unlike our traditional tourist-focused ATMs where if a tourist does not walk up to the ATM, you do not make money. If he uses less cash this year than last year, you make less money. These are infrastructure deals. These are long-term contracts with banks. And so what we are finding now is you have kind of got to break out when you look at ATMs, you cannot, like, throw them all in one bucket because some of them, it really does not matter how much people are going to spend with cash. We are going to get paid the same or more. So and as far as what percentage, I will let Rick try to take a shot at that. But I just want to kind of educate people. Everybody wants to say, this is all ATMs. It is not all ATMs.
Rick L. Weller: And, you know, we have shown you some charts and graphs before that show that the ATM business is slightly less than 20% of our consolidation there. And we have even put out a slide that said, you know, when you look out several years, you know, that number is anticipated maybe to be something like, you know, 13, 14, you know, kind of in that ballpark. Right? So we continue to see the mix shift to where we will not get rid of the ATM business. But we are not, as Mike said, we are not focused on it being a growth engine. We are seeing more of the growth come out of our digital strategy being either infrastructure support for banks or acquiring or like CoreCard where, again, which falls into that infrastructure piece. So that will continue to become a bigger and bigger part of it. And then as it relates to the margins, I would expect that we would see an improving margin structure. Today, in our EFT business, we have an operating margin that is just north of 20%-ish kind of percent. Okay? And if you kind of take a look at the acquiring business, it generally is going to be in a 25%-ish kind of ZIP code, the better. Okay?
Michael J. Brown: You look at the,
Rick L. Weller: the infrastructure or, like, the issuing business, it is going to be more in the 40% to 50% kind of range. And so we would anticipate seeing that mix will shift down for the ATM portion of it. And that will have better margins out of the EFT segment over time.
Daniel Krebs: And I think, with
Gustavo Andre Gala: yeah. Yeah. But it is nice to talk to you. And with everybody else, I noticed we are at the top of the hour, so we are going to close ourselves off. Appreciate your interest and look forward to talking to you in the future. Thank you very much.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.